Operator: Good morning ladies and gentlemen, welcome to the Denison Mines Second Quarter 2012 Results Conference Call. I would now like to turn the meeting over to Mr. Ron Hochstein. Please go ahead, Mr. Hochstein.
Ron Hochstein: Thank you, Paul. Good morning. Participating with me today is Jim Anderson, Executive Vice President and Chief Financial Officer. We will start with a brief look at the recently completed transaction with Energy Fuels and following that Jim will speak to the financial results. Then I will update you on our 2012 activities and then answer questions. This discussion includes forward-looking information. Actual future results may defer from expected results for a variety of reasons described in the cautionary statements regarding forward-looking information section of our press release. All amounts are in U.S. dollars unless otherwise indicated. Q2 marked a significant turning point for Denison with a completion of the transaction with Energy Fuels Inc., whereby they acquired our U.S. mining division. For Denison shareholders this was an opportunity to maximize their investment in Denison’s U.S. assets in a transaction that distributed that value directly and tax efficiently to them, via new shares in energy fuels. Denison shareholders of record on June 28, 2012 received approximately 1.106 common shares of EFR for every common share of Denison they owned while retaining their Denison shares. The transaction is an important step forward for Denison. We had evolved on 2 separate parallel but different tracks being both an exploration and development entity with a global footprint and an established uranium producer. The production and exploration risk profiles are very different; a producer is evaluated based on earnings whereas an exploration company is valued on the basis of exploration success. With the shutdown of our Canadian production in 2010 we became purely a U.S. producer. The U.S. production though was large enough to support that business but not as well as the global exploration programs. Through this transaction we were able to unlock the value inherent in the 2 components of Denison’s business which in our view was not been adequately recognized in the market. In addition, the deal was structured in a way that allowed Denison shareholders to benefit from 2 distinct investment vehicles. Combining and strengthening our U.S. operations with the complementary set of assets and people at Energy Fuels has created what is now the leading U.S. Pure-Play Uranium Company with 4 producing mines and a fifth scheduled to begin operations later this year, the only conventional uranium mill in United States and one of the largest holdings of U.S. based 43-101 compliant uranium resources. At the same time, Denison shareholders will be able to benefit from its increased focus on our Canadian and Global asset base, in particular our exploration development portfolio which includes our extensive Athabasca Basin portfolio of 28 properties, 23 of which are operated by Denison. Our Athabasca holdings include the 60% owned Wheeler River project and its Phoenix deposit as well as the McClean underground and Midwest development projects also in Northern Saskatchewan and adjacent to our 22.5% owned McClean Lake mill, our wholly owned Mutanga Project in Zambia and the Gurvan Saihan Joint Venture in Mongolia. Based on stock market performance to last Friday, August 3, the transaction has accomplished its objective of unlocking shareholder value. Since the transaction was announced Denison taking into account the Energy Fuels distribution is up 9.7% while Cameco is up 1%, Uranium One, Paladin and Uranium Energy are all down 17.7%, 30.4% and 30.9%, respectively. The Global X Uranium ETF was also down 18.5%. Since the distribution date Denison is up 14.8% and ERF is up 7.9%. Combining the 2 based on the transaction ratio, a Denison shareholder that held them both after the transaction is up 13.7%. The other comparative companies and The Global X Uranium ETF were all down during the same period from 4.6% to 15.4%. Now I would like to turn the call over to Jim who will deal with the financial ramifications of EFR transaction as well as guide you through the results of our continuing operations. Jim?
James Anderson: Thank you, Ron. Good morning, everyone. As a result of the EFR transaction, the company has restated the presentation of its statement of income to include only the company’s continuing operations in detail and to disclose the results with U.S. mining division separately as discontinued operations. The company accounted for the EFR transaction in accordance with IFRS which requires that we fair value the assets been distributed to shareholders which in this case was the EFR shares. Fair value of the shares was determined to be $79.4 million based on 425 million common shares of EFR to be distributed Denison shareholders, a share price of CAD 0.19 per share and a Canadian-U.S. dollar exchange rate of 0.9822. Immediately prior to the sale the company tested the carrying value of the U.S. mining division for impairment using the fair value of the EFR share consideration as the recoverable amount. As a result the company recognized an impairment charge of $97.9 million of which $44.1 million had been recognized in the first quarter of 2012 and $53.8 million was recognized in the second quarter. There are net loss. Some discontinued operations totaled $50.4 million or $0.13 per share for the 3 months ended June 30, 2012 compared to a net loss of 3.8 million or $0.01 per share for the 3 months ended June 30, 2011. The net loss from discontinued operations was $92.8 million or $0.24 per share for the 6 months ended June 30, 2012 compared to a net loss of 4.5 million or $0.02 per share for the 6 months ended June 30, 2011. The net loss in 2012 was primarily due to the impairment charges. Looking at continuing operations, revenues from Denison’s environmental services division was $2 million for the 3 months ended June 30, 2012 and $5.2 million for the 6 month period. This compares with $3.6 million and $7.1 million during the comparable periods in 2011. The decline in revenue is primarily due to the expiry in March 2012 of a contract with the Yukon government at the Faro mine. Revenue from the management contract with Uranium Participation Corporation was $435,000 for Q2 2012 and $870,000 for the 6 months compared with $476,000 and $1 million in the same period in 2011. Total revenue for Q2 2012 amounted to 2.4 million. The McClean Lake mill remains on standby; operating cost of 3 months and 6 months ended June 30, 2012, totaled $749,000 and $1.3 million including standby cost compared to $242,000 and $354,000 for the 3 months and 6 months ended June 30, 2011. The Cigar Lake joint venture continues to pay nearly all of the standby expenses under the terms of a toll milling agreement. Operating cost were higher in 2012 than in 2011 due to increased funding of the SABRE testing which is not prior to the McClean Lake standby cost. SABRE stands for Surface Access Borehole Resource Extraction and it is the new name of the former SABM or MED program. Exploration expenditures during the second quarter of 2012 totaled approximately 4.4 million; approximately 1.2 million of this was spent in the Athabasca basin in northern Saskatchewan where we are engaged in exploration as part of the AREVA operated McClean and Wolly joint ventures as well as on 3 other projects including Wheeler River. We also spent $657,000 at the Mutanga project in Zambia compared with $785,000 in the second quarter of 2011. Total cost so far this year at Mutanga are $776,000. Exploration expenditures in Mongolia for the 3 months ended June 30, 2012 were 2.5 million compared with $664,000 during the same period in 2011. For the 6 months of 2012, we spent $2.8 million in Mongolia. The company recorded a net loss from continuing operations of $1.7 million or $0.01 per share for the 3 months ended June 30, 2012 compared to the net loss of continuing operations of $10 million or $0.03 per share for the same period in 2011. For the 6 month ended June 30, 2012, the net loss of continuing operations was 11.2 million or $0.03 per share compared to a net loss of 16.4 million or $0.04 per share for the 6 months ended June 30, 2011. As of the end of the June this year, the company had cash and cash equivalents of $46 million, compared with $53.5 million at the end of December in 2011. The decrease of $7.5 million was due primarily to expenditures on property, plant and equipment totaling $10.8 million offset by cash provided by operations of $4.2 million. On June 30, 2012, the company put in place a revolving term credit facility for $15 million. The credit facility terminates on June 28, 2013. There is no debt outstanding on the facility, however, $9.5 million of the line was used as collateral for certain letters for credit at June 30, 2012. For more detailed discussion of our financial results I refer to your MD&A. Now I would like to turn the call back over to Ron.
Ron Hochstein: Thank you, Jim. Now I would like to turn my attention to our exploration and development programs. In Canada, at the 60% owned Wheeler River project, a 15,000-meter summer drill over [ph] program is nearly complete. Denison is the operator of Wheeler River and is utilizing 2 drill rates. The drill program focused on drilling in zones A & B and also on 3 other interesting targets near the Phoenix deposit. The results of this summer’s drilling in zones A & B will be included along with the 2011 drilling results to prepare a revised national instrument 43-101 resource estimate for Phoenix by the end of 2012. We’re planning to spend a total of CAD 6.8 million at Wheeler River this year with Denison share being CAD 4.1 million. Exploration work is also being carried this summer on the Moore Lake and Wolly projects. At McClean Lake, construction for the expansion of the mill capacity from 13 million to 22 million pounds per year has begun. The ramp up to processing of Cigar Lake Ore in 2013 has also started with AREVA beginning to increase staffing levels and mill maintenance activities. In addition, the TMF for tailings management facility, optimization earth work has also begun. In terms of Canadian development, the McClean Lake joint venture has been actively working on 2 development projects, McClean underground and Midwest. Denison expects this year to spend approximately $630,000 on these projects. The McClean North and McClean underground feasibility study is been expanded to include the Sue D and Caribou deposits. We were expecting a production decision by Q4 this year; however this has been delayed to Q1 2013. This delay has not impacted the timeline though to first production which is projected to be late 2015 or early 2016 because dewatering of the Sue B pit has begun and this activity is on the critical path. On the Midwest project, the provincial and federal authorities are continuing with the evaluation of the final environmental assessment. We expect them to approve the EA late third or the fourth quarter this year. This summer as Jim mentioned the 3-hole production test of the SABRE mining method will be carried out on one of the McClean North ore pods. The SABRE method if applicable may be used at the Midwest deposit. The total cost of this program is estimated at CAD 10.2 million on a 100% basis. In Zambia, at the 100% owned Mutanga Project, we are following up on our successful 2011 drill program which increased resources on the Mutanga Project to 7.8 million pounds eU3O8 and measured and indicated and 41.4 million pounds in inferred resources. This summer a 15,000 meter exploration drill program is under way focusing on several targets that had been identified near the existing resources. To date although we have identified additional mineralization it was shallow and low grade. The drilling program is ongoing. In addition to the exploration drilling, metallurgical test work is ongoing as well as several social programs in the local area. Zambia program will total an estimated 7.1 million this year. Earlier this year at the Gurvan Saihan Joint Venturein Mongolia we acquired the 15% interest of Geologorazvedka, our former Russian partner, for cash consideration of 742,000 and the release of Geologorazvedka’s share of unfunded joint venture obligations. This additional interest is expected to be transferred to Mon-Atom, our Mongolian Government Partner, as part of the restructuring plan. Although we currently hold 85%, the final restructuring of the GS JV is expected to result in Denison having its original 70% interest reduced to 66% thus allowing the Mongolian Government to hold 34%, the minimum entitled interest under the new law. This year a 4.3 million exploration program is projected in Mongolia, a 29,600 meter drilling program was completed on the Urt Tsav and Ulziit properties and successfully expanded the 2011 discovery made on Ulziit. Efforts for the remainder of the year will focus on discussions with the government and Mon-Atom regarding restructuring of the GS JV and licensing activities. Regarding our outlook for the remainder of 2012, as a result of the EFR transaction and the standby state of the McClean Lake mill we obviously will have no production or sales during the remainder of 2012. In terms of our exploration and development, Denison’s plans for this year for Canada, Zambia, Mongolia are not anticipated to change as a result of the EFR transaction. Total expenditures on development and exploration projects in 2012 excluding the U.S. are estimated at 22.3 million. Work has begun in developing our 2013 programs which at this time are anticipated to see increased activity on our exploration properties in Canada. The Zambia, Mongolia programs will depend more on the results of 2012 exploration in Zambia and then negotiations in Mongolia. With the strong balance sheet and no outstanding debt, Denison plans to aggressively pursue its Canadian and international exploration development strategy. Our diversified global asset base and experienced exploration team means Denison is well positioned. That concludes the formal presentation. Thank you for your time and now we will be happy to answer any questions. Paul?
Operator: [Operator Instructions] The first question is from Adam Schatzker.
Adam Schatzker: I guess the first question with respect to SABRE, I got to say it certainly sounds like an extremely compelling technology especially for getting into ore bodies that would not be economic conventionally. Can you maybe sort of hypothesize us to a timeline as to when we might actually see something more towards the commercial production and do you see other opportunities in the basin where you with or without AREVA might be able to really introduce this as a more revolutionary small ore body technology.
Ron Hochstein: That’s really part of the intent of this year’s program is it's a 3 hole test program, where we are going to mining 3 holes in close proximity so mining up against backfilled cavities in order to give us good data and the plan is to actually next year complete a study on Midwest, looking at open pit, underground and SABRE as potential technologies. So I think you start to see more visibility on the potential for this technology early next year. Another type deposit that it could be used on although Caribou is been included in the feasibility study to be accessed via underground mining methods. We are potentially looking at Caribou as a target for SABRE as well. And there are a number of deposits in and around the basin that have been known for many years that SABRE would be an ideal mining method. Another one that we own ourselves would be Midwest A; that would be right now that resource with what we know today would not be mineable either underground or open pit but would be an ideal candidate for SABRE. With regards to potential for Wheeler for us, given its depth at 400 meters, we might be pushing the limits, the envelope with SABRE because obviously your pumping capabilities to pump that high grade ore from those depths. So Midwest is, so we are doing testing at McClean which is 175 to 200 meters, then you get to Midwest which is a little deeper, we will get more knowledge as to how deep we can go but I think Wheeler might be pushing the envelope but I think it has a tremendous opportunity for other opportunities in the basin.
Adam Schatzker: So just try to put a framework around what types of deposits might seem [indiscernible], obviously smaller, you know it's good because you wouldn’t be able to get to it conventionally there at ideal dimensions, is it better to have tall, skinny ore bodies or wide fat ore bodies? And when you go down and do the excavation, what kind of size would you actually be able to get out of that from each one? I am just trying to figure what kind of rates you might be able to get with the technology?
Ron Hochstein: The cavity size, I think we are looking at 3 to 4 meter diameter cavities, is that right Jim? And then in terms of the height of that cavity, Adam, that’s dependent upon the ore body. So, that’s the sort of the diameter the cavities that we are looking at, the work has been done on the mining head itself is it's very flexible and the jet bore, the jet technique can be manipulated so that you can work around different shaped ore bodies. Obviously, tall skinny ones so that you are drilling less holes would be ideal just like the jet boring from below. So that’s the type of deposit but anything that’s like I said Midwest A which is around 10 million pounds, SABRE would be ideal for that.
Adam Schatzker: Can you write me the grade there?
Ron Hochstein: Grade at Midwest A is fairly high, I can’t remember it right off the top of my head, it's probably about the same as Midwest.
Adam Schatzker: Certainly will look forward to more to SABRE. Now if I can ask a more broad question, when you go through everything that you are doing it seems like the major focus right now would be obviously Wheeler River drilling, McClean North underground I see AREVA is sort of doing most of the heavy lifting on that end of things but then you have got your work overseas in Zambia and Mongolia and the spend for 2012 of over $20 million. So I guess the net question here is you have got all these different things going on and certainly each one with some interesting opportunities but now that you don’t have production and even with the recovery in your India market there wouldn’t be positive cash flow; it's not that you necessarily had them recently in this depressed environment. But I am just trying to see, is there an issue where one might start to see cash burn going too fast because you have got too many things and if you had to actually say, “OK, what is our absolute focus in order to get back into production as soon as possible?” Which ones would you look at as that focus?
Ron Hochstein: That’s our target going forward here, is we have to be spending the money smartly and identifying where we believe that we are going to get the best value in the short period of time. As you have laid out it's a little bit more challenging in this uranium market to be creating that value. Obviously Canada is going to continue to be, Wheeler will continue to be our primary focus, there is other exploration properties in and around Wheeler that we have not been working on for a few years because of just our focus on Wheeler that we will begin to do some more drilling there, so Canada is going to continue to be the number one priority followed by Zambia to try to -- we still believe even though our drilling this year hasn’t gone as well as we had hoped, we still believe there is great opportunity to expand that resource and turn that project around into a more economic project even at slightly higher uranium prices. And then Mongolia, it's going to be a third priority just because of the issues we have with the political environment there and we just going to continue to work with the government to try and negotiate a joint venture that makes sense.
Adam Schatzker: And I guess now you have been a different company for a few months now; when you meet with investors what do they want out of the company? What are you finding? Are they saying, “Look, Canada is really our focus, we don’t care too much with Zambia, Mongolia or vice versa”?
Ron Hochstein: No, that’s what I widely noticed really what we are hearing from investors as well and in terms of our focus.
Operator: [Operator Instructions] The next question is from Ian Parkinson.
Ian Parkinson: Just a quick question on the summer drilling at Wheeler, and you may have dealt with it certainly on the call, I apologize if you have, are you focused more to the northeast or is it going to be more in the central part of the, I guess, known deposits, more towards zone B.
Ron Hochstein: We did do some. Most of our drilling this summer, Ian, was on cross-faults that we had some success in expanding A in the winter program and tail end of the summer program last year. And so we were drilling some further cross-faults that we knew of in A and also in B; that was, we didn’t do any sort of in-field drilling; we had already drilled this thing at very tight spacing. Unfortunately on the cross-faults in B, they didn’t show up as well. Where we still feel that A may be open at depth is to the northeast, what we use to call zone D; we are now saying that it's just really Zone A going to depth so that’s still open but in terms of going further south on Zone B or that we don’t think there is much there so we are still looking at northeast as Zone A and then starting to look at other targets that we have within a 2 to 3 kilometer radius of Phoenix that are near or around that courtside ridge.
Ian Parkinson: Are they more towards the northeast in long trend or…
Ron Hochstein: It's a little bit of both, 2 are actually on the other side of courtside ridge once to the southwest, that one had been received a lot of drilling historically, very good alternation and mineralization but lower grade and then there are some conductors to the North West.
Ian Parkinson: And what sort of turnaround are you seeing these days on getting data back from the labs?
Ron Hochstein: It's not too bad; it's a little bit slower this year because we have seen fissions picked up their program a bit and also Rio has picked up their programs in the basin, so it's a little bit slower this year but it's nothing like what it used to be.
Operator: The next question is from Adam Schatzker.
Adam Schatzker: Just a quick follow-up on that, looking towards next year, where do you see the drill program with respect to the number of drills as you move away from the known deposits and you get I guess more back to a grass-root style of exploration of deposit location. Do you see an increase there or are we still going to be with the same number of drills?
Ron Hochstein: I think we will probably do the winter program with 2 drills Adam and then obviously that will depend on its success but the one thing we are going to change our attack and that if we do identify resources we will put 2 to 3 drills in that area but always keep at least one or 2 drills on [indiscernible] work.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Mr. Hochstein.
Ron Hochstein: Thank you, Paul, and thank you, everyone, for attending and I look forward to hearing from you all in Q3. Thanks very much.
Operator: Thank you. The conference is now ended. Please disconnect your lines at this time and we thank you for your participation.